Operator: Welcome to American Equity Investment Life Holding Company's Third Quarter 2019 Conference Call.At this time for opening remarks and introductions, I would like to turn the call over to Julie LaFollette, Coordinator of Investor Relations.
Julie LaFollette: Good morning and welcome to American Equity Investment Life Holding Company's conference call to discuss third quarter 2019 earnings. Our earnings release and financial supplement can be found on our website at www.american-equity.com. Non-GAAP financial measures discussed on today's call and reconciliations of non-GAAP financial measures to the most comparable GAAP measures can be found in those documents.Presenting on today's call are John Matovina, Chief Executive Officer; Ted Johnson, Chief Financial Officer; and Ron Grensteiner, President of American Equity Investment Life Insurance Company. Some of the comments made during this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. There are a number of risks and uncertainties that could cause actual results to differ materially from those expressed or implied. Factors that could cause the actual results to differ materially are discussed in detail in our most recent filings with the SEC. An audio replay will be made available on our website shortly after today's call.It is now my pleasure to introduce John Matovina.
John Matovina: Thank you, Julie.Good morning everyone and thank you for joining us this morning.As we reported last night, our third quarter financial results remain strong. Non-GAAP operating income for the quarter was $233 million or $2.54 per share. And if you exclude the impact of the revisions to our actuarial assumptions operating income would have been $109 million or $1.19 a share. And both of those are, those are new records for operating income and operating income or operating earnings per share excluding the effect of assumption reviews. As a reminder, the three key metrics that drive our financial performance are growing our invested assets and policyholder funds under management, generating a high level of operating earnings on net growing asset base through investment spread and then minimizing impairment losses in our investment portfolio.So for the third quarter of 2019, we delivered 1% sequential growth and 5% trailing 12-month growth in policyholder funds under management. On a trailing 12-month basis, we generated a 16.3% non-GAAP operating return on average equity excluding the impact of actuarial assumption reviews and our investment impairment losses, net of recoveries and after the effects of deferred acquisition costs and income taxes we're just 0.1% of average equity.The growth in policyholder funds under management was driven by $1.2 billion of net sales in the quarter and $4.9 billion of net sales for the trailing 12 months. Net sales in the quarter were up nearly 31% year-over-year, but they were down 15% sequentially. Our policy rates were less attractive in the second half of the third quarter, following the rate reductions we made in early August that we talked about on the last call. You will hear more about the sales environment and competition from Ron a bit later.Investment spread in the quarter increased sequentially with trendable investment spread and the benefit from non-trendable investment spread items, up roughly the same amount. Trendable spread benefited from a decline in the cost of money as option costs continue to decline through our rate management. Ted will have more details on investment spread in his remarks.Also during the quarter, Fitch Ratings upgraded their ratings on us and earlier in the year Standard & Poor's and AM Best affirmed our ratings. With the future upgrade, we now have an investment grade rating for our holding company senior unsecured debt for each of the rating agencies that rate us. So I'll be back at the end of the call for some closing remarks.Now I'll turn the call over to Ted for additional comments on third quarter financial results.
Ted Johnson: Thank you, John. As we reported yesterday afternoon, we had non-GAAP operating income of $233 million or $2.54 per share for the third quarter of 2019 compared to non-GAAP operating income of $171 million or $1.87 per share for the third quarter of 2018. Excluding actuarial assumption revisions, operating income would have been $109 million or a $1.19 per share for the third quarter of 2019, compared to $90 million or $0.99 per share for the third quarter of 2018.Third quarter 2019 operating income included a net benefit of $124 million or $1.35 per share from revisions to actuarial assumptions. Third quarter 2018 operating income included a net benefit of $81 million or $0.88 per share from revisions to actuarial assumptions. On a pre-tax basis, the third quarter 2019 revisions reduced amortization of deferred policy acquisition costs and deferred sales inducements by $473 million and increase the liability for future payments under lifetime income benefit riders by $315 million for a net increase and pre-tax operating income of $158 million.Going forward, the impact from our revisions to actuarial assumptions on future results is expected to be a small benefit to near-term earnings. The most significant assumption changes were to lapse and utilization assumptions. We have credible lapse and utilization data based upon a comprehensive experience study spanning over 10 years on our products with lifetime income benefit riders, and have experienced lapsation on these policies lower than previously estimated. Lower lapse assumptions should result in more policyholders being eligible to turn on their lifetime income benefit than previously anticipated, and therefore the need for a greater lifetime income benefit reserve amount.On the other hand lower lapsation assumptions results and policies remaining in force over a longer period of time. Leading to a greater level of expected gross profits than previously estimated, this higher level of estimated future gross profits means that we had amortize the deferred acquisition cost and deferred sales inducement assets faster than what our current revised assumptions indicate was necessary.Our experienced study has also indicated that the ultimate utilization of certain Lifetime Income Benefit Rider is expected to be less than our prior assumptions and the timing of utilization of lifetime income benefit riders is later than in our prior assumptions, we have reduced our ultimate utilization assumptions for fee riders from 75% to 60% and for no fee riders from 37.5% to 30% for policies issued in 2014 and prior years.The net effect of utilization assumption revisions partially offsets the negative effects on the lifetime income benefit reserve from the change in lapsation assumptions. We are assuming a 3.8% long-term U.S. treasury rate with a mean reversion period of 20 years. Our long-term assumption for aggregate is unchanged at 2.6%, which translates to an ultimate discount rate of 2.9%.Investment spread for the third quarter was 275 basis points, up from 263 basis points in the second quarter as a result of a 4 basis point decline in the cost of money and an 8 basis point increase in the average yield on invested assets. Trendable spread in the third quarter was 260 basis points compared to 254 basis points in the second quarter of this year. Average yield on invested assets was 4.59% in the third quarter of 2019, compared to 4.51% in the second quarter of 2019.This increase was attributable to an increase in the benefit from non-trendable investment income items from 5 basis points in the second quarter to 13 basis points in the third quarter of this year. Included in non-trendable items this quarter, were a 11 basis points from prepayment fees and bond call income and 2 basis points from accelerated residential mortgage-backed security pay downs and other miscellaneous items.The impact from the decline in short-term yield on the $4.8 billion of floating rate instruments in our investment portfolio negatively affected our average yield by 2 basis points. The average yield on fixed income securities purchased and commercial mortgage loans funded in the third quarter was 3.3% compared to 4.52% for the first half of the year. During the quarter, we purchased $1.9 billion of fixed income securities at a rate of 3.21% and originated $180 million of commercial mortgage loans at a rate of 4.33%. The decline in new money yields reflected the general decline in available yields and lower allocations to both asset-backed and structured securities, as well as greater purchases of lower yielding U.S. treasuries and agencies and municipal securities.The average yield on fixed income securities purchased and commercial mortgage loans funded in October was 3.59%. Our expectation in the near-term is for new money yields to continue to range from 150 basis points to 200 basis points over the 10-year treasury yield. Longer term, we're looking to develop and expand relationships with third parties that can source more higher yielding private asset-backed and infrastructure securities for our portfolio.The aggregate cost of money for annuity liabilities was 184 basis points, down 4 basis points from the second quarter of 2019. The benefit from over hedging of the index-linked interest obligations was 2 basis points in the third quarter compared to 4 basis points in the second quarter. We estimate that the trend of cost of money declined by 6 basis points in the third quarter.Option costs decreased in the third quarter reflecting reductions in caps and participation rates on new business from the June and August new money rate changes. Renewal rate changes initiated in both October of last year and in August of this year and higher volatility. The trend of declining option cost, which began in December 2018 could extend further as we reduce new money rates last month and will begin reducing renewal rates on 29.7 billion of policyholder funds under management, in January 2020.We expect this latest renewal rate reduction to produce annual savings in the cost of money of 11 basis points on the $29.7 billion and 6 basis points on our entire in-force when fully implemented over the next 12 months to 15 months. Should the yield available to us increase or the cost of money rise, we continue to have flexibility to reduce our crediting rates if necessary and could decrease our cost of money by roughly 59 basis points, if we reduce current rates to guaranteed minimums.This is up slightly from 58 basis points at the end of the second quarter. Operating expenses increased 3% sequentially in the quarter. The sequential increase in operating expenses reflected a $700,000 increase in legal, consulting and recruitment firm fees and $700,000 in additional risk charges for excess regulatory reserves ceded to an unaffiliated churn as a result of an increase in the excess regulatory reserve ceded.Our estimated risk-based capital ratio at September 30, 2019 is 366 compared to 369 at June 30 and 360 at December 31, 2018. We had a modest increase in adjusted capital and surplus that did not keep pace with the increase in required capital necessary from growth in our business. Our RBC ratio continues to be negatively impacted by lower statutory net income in 2019 attributable to lower option expiration proceeds and lower index credits.Net index credits were 0.8% of account value in the first nine months of 2019, compared to 1.4% in the fourth quarter of last year and 3.6% to 5.4% in each of the first three quarters of 2018. Assuming current equity market levels, we expect option expiration proceeds and credits to rebound in the fourth quarter.Although low option expiration proceeds and related index credits can affect statutory capital and surplus and risk-based capital in the short run. Over the long run market movements tend to even out and we expect the policies to perform in line with pricing expectations.Now I'll turn the call over to Ron to discuss sales, marketing and competition.
Ron Grensteiner: Thank you, Ted, and good morning everyone. As we reported yesterday third quarter gross and net sales were $1.3 billion and $1.2 billion respectively, representing increases of 25% and 31% from third quarter 2018 sales,On a sequential basis, gross and net sales decreased 13% and 15% respectively. In addition to the gain in gross sales the year-over-year increase in net sales reflects a reduction in the co-insurance percentage for Eagle lives reinsured fixed-indexed annuity products from 50% to 20% and increased sales of Eagle Lives fixed-indexed annuities that are not reinsured.Eagle Life sales product mix in the third quarter was more heavily weighted towards multi-year guaranteed annuity products, which have a co-insurance percentage of 80% resulting in a larger sequential decline in net sales relative to grow sales. In the independent agent channel, gross sales decreased 13% sequentially driven by reductions we made to crediting rates and guaranteed income at mid-June and early-August as available yields in the market continues to fall.The sales environment and the independent agent channel remain competitive during the quarter. Most competitors lower crediting rates and guaranteed income throughout the quarter, although a few continue to hold guaranteed income steady. Combined sales for asset shield and the choice series our primary accumulation products for independent agents were 39% of American Equity life fixed-indexed annuity sales in the third quarter compared to 46% in the second quarter of 2019.Income shield accounted for 48% of sales in the third quarter compared to 40% of sales in the second quarter of 2019. Income shield 10 was the largest or with was the best selling guaranteed lifetime income product in the independent agent channel in the first half of the year. Despite the changes to guaranteed income we made in August income shield 10 sales were still up 8% sequentially.In light of the decline and available yields we implemented further reductions to crediting rates and guaranteed income on October 16. We lowered annual participation rates on asset shied 10 with the market value adjustment to 25% from 40% previously. This rate was 54% in January, indicating how much yields have deteriorated over the course of the year.Participation rates on the volatility control Dividend Aristocrats excess return one and two year strategies are now at 100% and 110%, well below the levels at the start of the year. For guaranteed income we reduced pay off factors for the lifetime income benefit rider is available on our guaranteed income products. The reductions and pay off factors reduced guaranteed income on our best-selling income shield products by roughly 12% following reductions of approximately 6.5% to 7% back in August.While more conservative when compared to the highest levels of income in the marketplace we're still higher than several key competitors. While absolutely necessary, we believe our reduction in participation rates from the 50% level, likely had an outsized effect on our distribution producing a relatively greater drop in sales of our accumulation products this quarter offering half or more of the S&P 500 appreciation with no downside risk was a very appealing offering even against hybrid volatility controlled indexes with higher participation rates.More recently, we have seen competitors raise participation rates possibly betting on a continuation of the recent back up in interest rates. Even after these increases, however, our Dividend Aristocrats excess return strategy is still illustrate competitively. Our objective is to highlight this strategy by placing more marketing and educational emphasis on its features and strong performance.It's a slow process but we seem to be making headway as roughly 42% of new money into assets shield 10 is currently being allocated to Dividend Aristocrats compared to 16% in May, which is the last month our S&P 500 participation rate for assets shield 10 was at least 50%. To put this into perspective the allocation to the S&P 500 participation rate strategy in assets yield 10 as following a 37% from 61% in May.Turning to pending. Pending business at American Equity Life average 2,685 applications during the third quarter compared to 3,156 applications in the second quarter and 2,905 when we reported second-quarter earnings. Pending this morning stands at 2,169 applications. Gross FIA sales at Eagle Life decreased 28% sequentially. Eagle Life had distinguished itself in the Bank and broker-dealer channels with this emphasis on offering attractive participation rates on S&P 500 annual point to point strategies.Given the decline in interest rates, we made some reductions to participation rates during August and October, similar to those made on accumulation products at American Equity Line. While our S&P 500 participation rates are not attractive to distribution at this time, we're placing additional emphasis on the Dividend Aristocrats strategies at Eagle Life too. Our two latest product introductions at Eagle Life, the Eagle select focus 5 and focus 7 as at gaining traction with distribution and both include the Dividend Aristocrats participation rate strategies.Eagle Life will also be rolling out a new guaranteed income product the Eagle Select Income focus the banks and broker-dealers later this month. This is a significant initiative for Eagle Life to capture some guaranteed income market share in these channels. Last year's guaranteed income sales were $5.8 billion and guaranteed income sales continue to grow this year. While guaranteed life-time income has been a focus at American Equity life, this is not been the case that utilize. The Standard No Fee guaranteed lifetime income rider pioneered by American Equity life and the independent agent channel will be unique in the Bank and broker-dealer channels.To maximize guaranteed lifetime income policyholders may instead choose a fee-based provider, which will be very competitive with those offered by the leader in these channels. We continue to put significant emphasis on account acquisition? On our second quarter call we mentioned that we expected to bring on at least two meaningful accounts by year-end. We have a sell an agreement finalized with one a large independent broker-dealer and we expect to see sales early next year once the on-boarding process is complete and we remain hopeful that we will secure a selling agreement with the other meaningful independent broker-dealer by the year-end.Pending applications today at Eagle Life stand at 127 compared to 285 applications when we reported second-quarter earnings and 300 applications, a year ago.And with that, I'll turn the call back over to John for closing remarks.
John Matovina: Thank you, Ted and Ron. We certainly are pleased with our third quarter results, which included record operating income on both a reported basis and after adjusting for the impact of unlocking.Our investment spread continues to benefit from active crediting rate management our trend well spread has increased each quarter of this year and third quarter 2019 trendable spread at 2.6% was 12 basis points higher than the fourth quarter 2018 level of 2.48%. Improvement in our investment spread has more than offset the mid-single-digit growth rate and policyholder funds under management and putting that altogether, we estimate that we've increased our trendable operating earnings per share by 22% over the last 12 months to $1.09 per share in the third quarter of this year compared to $0.89 per share in the prior year third quarter.In addition to spread management key initiatives for the remainder of 2019 and 2020 will be to continue to increase our footprint in the bank and broker-dealer channels, introduce new annuity products that will complement our current product line-up and boost our new money yield to enhance our competitive position in the rates in terms we can offer on our products.As we've said in the past calls, our long-term outlook remains quite favorable due to the growing number of Americans who will need help with the retirement security, while no single investment adequately addresses all retirement risk annuities can play an important role in addressing guaranteed lifetime income, no matter what the market does, while also addressing sequence of return risk during retirement.We believe favorable demographics, product evolution and historical favorable results signal significant market share growth potential for fixed-indexed annuities. So on behalf of the entire American Equity team, which now numbers a little more than 600. Thank you for your time and attention this morning.We will now turn the call back over to the operator for questions.
Operator: Thank you, sir. [Operator Instructions] Our first question comes from Ryan Krueger from KBW. Please go ahead.
Ryan Krueger: Hi, thanks, good morning. First question on the $1.9 of trendable EPS that you cited in the third quarter, I guess do you view that as a good starting point going forward. And does it incorporate the benefit from the near-term earnings that you cited from the assumption review?
John Matovina: First of all, we don't give guidance going forward. On the $1.9 that doesn't take into corporation any future benefit that you were referring too. The $1.9 was merely our reported number adjusted for unlocking and backing out the 6 points of non-trendable investment spread and applying an estimated DAC and tax effect to it.
Ryan Krueger: Got it. I guess just maybe put in a different way. If I back out all the DAC amortization and other assumption impacts, it looked like the K factor was in like the 49.5% range, is that, was there anything unusual in that or, because that's a bit lower than it had been previously or do you feel like that's a fairly decent indication now?
John Matovina: It's a little bit lower because of higher AGP versus EGP for the quarter. There was some of that impact.
Ryan Krueger: Okay. And then just last one. Seems like you were highlighting that your products are generally still pretty competitive despite some of the action taken by your peers but the pending count is down quite a bit. So just hoping for some more color there and if you think that's partially just representative of the overall market coming down?
RonGrensteiner: Well, this is Ron. And every time rates reduced against reduced there is kind of a pause or a slowdown in sales and going forward, I think we have to accept that this could potentially be the norm within in this low rate environment and you just have to keep going, you can't stop just because rates are low, does it mean that there is no longer need for guaranteed income or principal protection and those types of things. So we just, we keep on going forward and accept that this might be the new norm.
Ryan Krueger: Got it. Thank you.
Operator: Thank you. Our next question comes from Pablo Singzon from JP Morgan. Please go ahead.
Pablo Singzon: Hi, the first question is for Ted. So the assumption review impacts are positive for operating earnings, but negative on GAAP income. Can you just discuss the difference there?
Ted Johnson: I mean the difference there is going to be the impact of applying fair value accounting or FAS 133 to those calculations.
Pablo Singzon: Got it. So this is just I guess lower risk free rates increase the liability and therefore have a negative impact on GAAP income right that's sort of – some of it?
Ted Johnson: I mean, certainly that's going to be part of it. I think there is other factors too.
Pablo Singzon: Okay. And then the second question is for John. So it seems like EO has been more active than its competitors in managing down the cost of money on in-force policies, at least in the recent past. Is there anything different about your current data for additions versus your historical approach and have your actions had any dis-impact whether on your distribution relationships or your policyholders?
John Matovina: I wouldn't say our pace of activity on crediting rate management has changed in the last several years. We have cycles that we look at things with the policies have now been, there is some pretty large groups of policies that get looked at once a year and sometimes it's not right on top of each other. You know, like every 12 months, maybe it maybe there is a three month lag. But and the one thing we continue to do is remain committed to if not adjusting renewal rates for the first three years on policies. So, when policies hit their fourth year. We then do an evaluation as to whether a rate adjustment is appropriate or not.
Pablo Singzon: Okay. Sorry. Go ahead.
John Matovina: The second part of your question was that we had any push back from agents or policy numbers and then we have not?
Pablo Singzon: Okay, perfect. I'm going to review. Thank you.
Operator: Thank you. Our next question comes from Alex Scott from Goldman Sachs. Please go ahead.
Alex Scott: Hi, thanks for taking the question. So I just wanted to talk about the review a little bit and I guess the assumption that 260 spread will remain constant. When I think back over your results over the last several years, I mean, they've been fairly resilient. But I mean low interest rates have impacted the spread over time, I think there is a time where you're earning something closer to like to 5% to 3% spread on some your product, right. So I guess, just in light of how much rates have come down. I'd just be interested to hear what's different this time around that it will be flat as opposed to you're actually having some of the pressure hitting the bottom-line?
Ted Johnson: I mean, certainly one of the big things that we've seen a, certainly the drop in option costs and certainly that drop in option cost is from what we've seen in higher volatility, and also our rate actions and we still do have quite a bit of cushion in room going into the future. Also and to be able to how much [indiscernible] and again we are not giving future guidance that’s based upon this 260, this is where our assumption is at today.
Alex Scott: Okay. But it is the assumption [indiscernible] and I guess where are you pricing new business, because if you are pricing new business at least 260, and that's your assumption it plays out, then I would think spreads would remain flat or even go up, which I think is different than where the Street anyway is estimated your spread to go currently?
John Matovina: Well, the 260 this pricing and this is John. The pricing of new business would not influence what's sitting in the model today. The model is the only – the policies that are there. The new business pricing I thought off and I don't know the spread numbers, but they probably haven't changed a lot. Now overall the – with the change in the mix of business that spread number is going to change over time as we've called out before, we have higher spread requirements for bonus products than we do for non-bonus products but I don't think the new business pricing is necessarily going to have an influence on the 260, which is just really the in-force book.
Alex Scott: Yes, I guess the point I was making is that, if the in-force book is earning 260 and the new price is earning 260 or something higher, if I aligned my model with your model, I think that should suggest that spreads are actually increasing over time, despite rate like do I have that right?
John Matovina: Our model that we're quoting here is just on the historical book, you are also factored into your – is what happens for future business that goes on. What we're quoting here giving you the assumptions is purely on the historical book of business.
Alex Scott: Understood.
John Matovina: Going forward and as we add new products on, then the mix – that product mix and those spread targets and assumptions for those will affect what the aggregate growth spread which we’re referring to how it changes overtime.
Alex Scott: Got it, okay. Thank you.
Operator: Thank you. Our next question comes from Erik Bass from Autonomous Research. Please go ahead.
Erik Bass: Hi, thank you. Is – a big benefit this quarter was obviously the lower cost of money. And if I'm hearing you right, it sounds like you view this as a sustainable level given the drop in option costs, so should we think of this is kind of a base level and then the actions that you're taking on renewal crediting rate actions could bring it down further. I think you said kind of 6 basis points from the January actions going forward. Is that the right way to think about it?
John Matovina: All else being equal, but obviously what happens in the market going forward is going to affect what those cost of options if there is some change in volatility, then that is going to change what we've experienced in the lower cost of options that we've seen over the past three quarters.
Erik Bass: Got it. That makes sense.
John Matovina: But you are around what you're statement that are our renewal rate crediting adjustments is going to continue to bring that cost of options down and obviously we're doing that because of the lower yields that we're seeing available out there to invest. So as some of the portfolio rolls over that's currently in where we're going to need to probably invest at a lower rate. And so that those renewal crediting actions that we're putting in place is to offset those drops and yields.
Erik Bass: Got it. Thank you. And then just one question on the assumption review. I think you also mentioned you maintained the same level of assumed index credits going forward. And is that correct and is how do you think of that given some of the actions that Ron talked about on pricing in terms of bringing down participation rates?
John Matovina: We maintain the spread, but not the level of what the cost of money associated or the index were the crediting too in the model? That does great up over time. As does the yield, so the yield and cost of options are grading up over a 20-year mean reversion period. And Rod's comments were reflective to new business not the assumption review. So clearly the new business being issued at lower rates. That will have a story on that next year at this time, so to speak.
Erik Bass: Got it, okay. Thank you.
John Matovina: Where things look like that.
Erik Bass: Yes, thanks.
Operator: Thank you. Our next question comes from John Nadel from UBS. Please go ahead.
John Nadel: Hi, good morning. I'm curious on the reduction in option costs. I'm – I think maybe a few quarters ago, you were talking about option costs in the range of maybe 190 basis points, something like that. I think we're down in the range currently or at least recently more like 160 give or take. I'm just curious of that reduction in option cost, how much of that is specifically related to the actions you've taken in terms of the reduction to participation rate caps et cetera and how much of that is just market factors?
Ron Grensteiner: So you're right. Option cost last year averaged around 191 basis points. The most recent quarter, that was down to 165 basis points in the quarter before that was 176 basis points. Our renewal crediting rate actions probably account for about 15 basis points to 17 basis points of that.
John Nadel: Got you. Okay, that's very helpful. Thank you. And then just a bigger picture question for John, is there anything that you can offer in terms of an update around the search process, timing candidate interest in terms of your successor?
John Matovina: Well, yes, the answer is – the short answer is, no. I think you can appreciate the confidential nature of the process, so...
John Nadel: No, I don’t – I wasn't asking you to name any.
John Matovina: Well, but not – but even anything said might gets people speculating and I mean, I will tell you the Board through its Committee has been actively engaged with the executive search firm selected by the Board to work on the assignment on the process to identify interview and appoint a successor has been ongoing and the Board still anticipate being in a position to name a successor by the end of the year.
John Nadel: I appreciate that. I've got – have got just one more as it relates to sales volumes, then maybe capital. Ron, I think in your prepared remarks, or maybe in response to a question earlier indicated maybe this is the new norm in terms of sales volumes at least yet to be prepared for the possibility that it is. If it is in fact the new norm, obviously production levels are significantly below what you can fund via your statutory earnings. How long would you need to see sales volumes at a level, but below that capacity before you might look at other alternatives for deploying capital otherwise not used to fund growth?
RonGrensteiner: Well, let me make one clarifying comment first. So when I talk about this may be the new norm, I'm not talking about sales levels; I'm talking about the interest rate environment that we're dealing with. So, I need to make that point of clarification, before they answer the rest of the question.
John Nadel: That's helpful. Thank you, Ron. Thank you.
Operator: Thank you. Our next question comes from John Barnidge from Sandler O'Neill. Please go ahead.
John Barnidge: Thanks. And I got disconnected earlier is, so I apologize, if I'm asking the question someone asked earlier. Surrender activity was 1.54% in the quarter and beginning period assets, does that seem like a reasonable run rate to assume?
John Matovina: I mean, in this low rate environment and certainly absent probably increases – significant increases in rates, it seems if you look over back over the past few quarters, that's probably a good place to start.
John Barnidge: Okay. And then operating expenses, does the number 38.5, I know you guys called out something someone onetime in nature, but how should we be thinking of a run rate for that? Thank you.
John Matovina: Certainly, I think you saw this quarter what impacted is one, if you have to factor in the increased amount of excess reserves ceded under our reinsurance agreement, you need to factor in that and what that grows too, because that's a driver of that line item. The other things that impacted the item I mean that was another 700,000 for other miscellaneous consulting and legal et cetera, from quarter-to-quarter, we typically have those items, they might go up or down. But that run rate where we're at right now is within $0.5 million or $700,000 is probably a decent run rate.
John Barnidge: Thank you for the answer.
Operator: Thank you. [Operator Instructions] Our next question comes from Pablo Singzon from JP Morgan. Please go ahead.
Pablo Singzon: Hi, thanks for taking my follow-up question. So maybe for Ted or Jeff. So as you explore increasing allocations for private investments, what kind of uplift are you expecting on the investment yield side and I guess what would be the corresponding impact on capital. And also, what's your view on your potential long-term allocation there?
Jeff Lorenzen: This is Jeff. I think the uplift is going to be hard to give guidance on because it's going to be all spread related, but we do anticipate on some of these private assets, getting spreads on the higher end or above those range targets that we provided. So there is going to be lift to the portfolio, the long-term allocations are still kind of working through those numbers. We continue to run all of our liquidity testing to make sure that we feel internally we have enough liquid assets available to meet policyholder obligations. But on the longer-term, I think private securities between private corporates and private ABS and other private assets could be 15%, 20% of the portfolio longer term. We're probably halfway there now. We have some flexibility to add some more illiquid assets to the portfolio that can get some lift but not cause constraints in terms of our risk profile.
Pablo Singzon: Got it. And then the second question is for Ron. I'm curious if you have a view on how large the current market for guaranteed products is in the bank and reduce also, obviously as you pointed out, it's not – it wasn't – it hasn't been the traditional market for that channel but those seems like is there an opportunity you see and as you go about expanding their maybe you could describe your strategy, are you looking at certain distribution or will it be more broad based on you sort of cover all the partners, you have now?
RonGrensteiner: Thank you, Pablo. It will be more broad based as we look at the statistics and the bank channel, in particular the uptake for guaranteed income is around 20% to 25%. So that is 20% to 25% of the time when they buy fixed-indexed annuity, it has a some type of guaranteed income feature attached to it. So, as the bank channel continues to grow. This year it's on pace to be somewhere in the neighborhood of $8 billion of FIA premium and now you take 20% to 25% of 8 billion, it’s actually going to be a big number. So our strategy is to take our expertise that we have and guaranteed income at American Equity life and transferred over to Eagle Life and hopefully capture some of that market share, $100 million here a couple of hundred million there can add significant success to Eagle Life guaranteed income.
Pablo Singzon: Got it. And then my last question is for Ted. Just on the updated lapse and utilization assumptions, can you give us an update on where you are – where you've been running historically versus your assumptions and related to that, I guess, can you talk about your approach to unlocking those I'm just more broadly, I know you referenced a study, but maybe if you could speak about specific factors that inform your decision to unlock and how you sort of balance of tension between a today and the potential for negative surprises for out in the future?
Ted Johnson: That’s a lot Pablo. Well, let's go back over the assumptions. First of all, we did a detailed experience studies again expand over the 10 years. In addition to that, we did engage a consultant to review our study and compare that against industry data of others in the industry and validated where our experience was that compared to the industry. Certainly, I think on a utilization – utilization that's going to differ by company depending on the product and how it was sold, et cetera.And when we look at utilization and you look at utilization for those cohorts and I said it's we reduce it for policies issued 2014 and prior and when we look at utilization across those policies, the utilization for any one-year kind of ranges from 10% to 23%, with a majority of them more in the 15 or below in utilization. So very low, so it's going to take a significant increase in utilization to get up to our 60% ultimate pump for those and again we left our utilization of assumptions higher for policies sold after 2014, and so we're still holding the 75% and 37.5% whether it's a fee or a no fee writer.And even in those older policies where I mentioned, we have one cohort at 22%, 23% utilization. That would be a cohort that has our richest benefit rider in it and that 23% is still quite low. So based upon all that data, that's how we validated our data and how we were looking at it when we were doing our assumption changes and in regards to lapses, we've been watching lapses be low for a long period of time, we've looked at that and really made the determination that was the point in time to reduce our lapse assumptions, which obviously had offsetting effects on whether it was a lever reserve for DAC.
Pablo Singzon: Got it. And if you allow me one for Ted, I know I asked a lot. But as you look at the pre-2014 block right, it seems like if we – if the trends sustain there, it seems like there's still some margin that you can essentially monetize at some point, I'm curious like, what is your expected duration for that overall block of policies and maybe if you could talk about an average age and we can sort of maybe apply our own math and when do you think people start dying off and so forth? But just broadly, like how much more – how many more years’ do you have in that block and I guess you can sort of think about that versus your assumptions?
Ted Johnson: I don't have that average age or the average duration of that to give you that. When you look at average ages and you look across those blocks for the weighted average age of the policyholders, some of those blocks and was other blocks, the average age is above 70. When you get closer to 2014, they might be right around 69 or that. So even the weighted average age is fairly high for those blocks, but I don't have some of that at the tip of my tongue right now to be able to give you.
Pablo Singzon: Okay, thank you.
Operator: Thank you. Our next question comes from Alex Scott from Goldman Sachs. Please go ahead.
Alex Scott: Hey, thanks for taking the follow-up. Yes, I was just wondering on the 260 spread assumption in DAC. If you can give us as to be out of that, whether it's a bps for 5 bps or something like that. And the only reason I'm asking [indiscernible] it's relatively high DAC balance, I just want to understand if it take you through changes to that is something that you should consider if it's just not material?
RonGrensteiner: We don't have a sensitivity to give on that. Obviously, when we update and do our 10-K and when we'll have our table or our information in there that will do you sensitivities on our assumptions, on the key assumptions.
Alex Scott: Got you. Okay, thank you.
Operator: Thank you. I show no further questions in the queue. At this time I'd like to turn the call over to Julie LaFollette, Coordinator of Investor Relations for closing remarks.
Julie LaFollette: Thank you for your interest in American Equity and for participating to today's call. Should you have any follow-up questions, please feel free to contact us.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.